Operator: Thank you for standing by, and welcome to the Phoenix Education Partners Fourth Quarter and Full Year Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Beth Coronelli, Vice President of -- Investor Relations. You may begin.
Elizabeth Coronelli: Good afternoon, and welcome to Phoenix Education Partners Fourth Quarter and Fiscal Year 2025 Earnings Conference Call. Speaking today on the call will be Chris Lynne, Chief Executive Officer; and Blair Westblom, Chief Financial Officer. Before I hand you over to Chris, please keep in mind that certain statements and projections of future results made in this presentation constitute forward-looking statements, that are based on current market, competitive and regulatory expectations and are subject to risks and uncertainties that could cause actual results to vary materially. Listeners should not place undue reliance on such statements. We undertake no obligation to update publicly any forward-looking statement after this presentation, whether a result of new information, future events, changes in assumptions or otherwise. Please see our public filings, including our latest Form 10-K and earnings press release filed today and available on our website for a discussion of risk factors that relate to forward-looking statements. In today's presentation, we use certain non-GAAP financial measures. You should consider our non-GAAP results as supplements to and not in lieu of our GAAP results. We refer you to Form 10-K and earnings press release for reconciliations to the most directly comparable GAAP financial measures and related information. I'll now turn the call over to Chris.
Christopher Lynne: Thank you, Beth, and good afternoon, everyone. Welcome to Phoenix Education Partners' first earnings call following our IPO in early October. We appreciate you joining us today as we share our results of the fourth quarter and full year ended August 31, 2025. Today, Blair and I will discuss performance highlights, recent developments and our outlook for fiscal year 2026. We appreciate your continued support and interest as we begin this next chapter as a public company. At the University of Phoenix, our mission is to expand access to higher education that helps students gain the knowledge and skills to achieve their professional goals, enhance the performance of their organizations and contribute to their communities. Serving working adults has been at the heart of our mission since our founding nearly 50 years ago. Our student body consists primarily of working adults who are seeking opportunities for career advancement, a growing segment of higher education. 75% are currently employed while pursuing a degree. The average age of our student is 38 years old. Over 50% of our students are first-generation college and almost 2/3 are caring for a family while pursuing their degree. We serve this underserved population by putting the needs of our students first, offering flexible career-relevant programs that empower working adults to grow professionally with programs tailored to the realities of balancing work and life. We operate a mission-driven culture built on modern technology, strong academic programs and a data-informed student experience, all centered on student success. Today, the university currently offers 72 degree granting programs and 33 nondegree certificate programs, each aligned to career relevant skills valued by employers. As part of this skills-aligned curriculum, our students have earned more than 900,000 skill badges, which serve as microcredentials, demonstrating mastery of specific competencies applicable in the workplace. Our transformative journey as a private company allowed us to focus on and deliver significant improvements in student retention, completion and satisfaction rates, demonstrating the strength and scalability of our model. As we begin our next chapter, we're continuing to focus on delivering strong student outcomes through personalized, career relevant and affordable solutions, positioning the university for continued momentum and profitable growth in the years ahead. In fiscal 2025, we delivered solid financial performance in line with expectations outlined during the IPO process, which reflects the strength of our mission-driven model and focus on student outcomes. Average total degrees enrollment grew to nearly 82,000 in fiscal 2025, up from approximately 79,000 in fiscal 2024, supported by strong student retention throughout the year. Expansion of enrollment affiliated with our employer relationships remained a key growth driver this year. Enrollment through these employer relationships grew to 32% of average total degreed enrollment, up from 30% in fiscal 2024, demonstrating strong sustained demand from working adults through this channel. As the U.S. workforce evolves due to advancements in technology and the half-life of skills continues to shorten, employers are increasingly prioritizing relationships with education providers that align with retention and upskilling strategies. We believe our affordable, adaptable and skills aligned programs remain attractive to employers that are focused on building and retaining talent. We continue to focus on improving student outcomes and increasing operating efficiencies through the use of AI and automation. We are leveraging machine learning and AI across the student journey to enhance marketing, retention and student-facing effectiveness and efficiency. Our technology platform supports long-standing models such as student engagement monitoring and AI-assisted enrollment support. And we are expanding into a wide range of AI capabilities that enhance personalization, streamline operating workflows and improve both student and staff experiences. As an update on accreditation, earlier this month, our College of Nursing received a 10-year accreditation from the Master of Science and Nursing Program from the Commission on Collegiate Nursing Education, a testament to our faculty and staff's commitment to academic excellence and professional quality. From a regulatory standpoint, we have a strong foundation and ongoing practices to promote compliance across all key metrics. In August of 2025, the Department of Education renewed our Title IV program participation agreement and approved recertification through June 30, 2031, reaffirming our continued eligibility for federal aid programs. Following the recent resolution of the federal government shutdown under a short-term funding measure last week, we note that the shutdown had no material impact on our business or our fiscal '26 outlook. During the temporary lapse in federal tuition assistance funding for active duty military students, we provided short-term financial relief to ensure their studies could continue uninterrupted, demonstrating our ongoing commitment to supporting students through periods of uncertainty and helping them stay on track towards their educational goals. In Q4, we continued to experience strong applicant demand and sustained improvements in enrollment productivity. We moved certain processes that deter and identify unusual enrollment activity to the top of the enrollment funnel at the application process. As expected, this stopped unusual enrollment activity earlier in the process and enabled our enrollment representatives to better serve our prospective students, resulting in increases in enrollment productivity. We continue to streamline this process, which is leading to continued improvements in productivity. We're continuing to enhance efficiency across the enrollment process by using advanced analytics, automation and artificial intelligence to better identify prospective students and personalized engagement efforts that are designed to lower acquisition costs and support improved conversion over time. Combined with automation and AI-assisted tools and enrollment, counseling and financial aid, these initiatives are designed to improve the overall student experience while driving continued efficiencies in our cost structure. These factors as well as continued improvements in retention supported the 5.7% year-over-year increase in average total degreed enrollment for the fourth quarter and support our outlook for fiscal 2026. As we look ahead to fiscal year 2026, we're encouraged by strong retention trends and steady demand across our programs. Our continued focus on student success and the learner experience is intended to support sustainable performance and position us for long-term growth. Becoming a public company marks an important milestone in our transformation, and we believe that we have built a strong foundation to deliver accessible skills-aligned education that empowers working adults to build job-relevant skills and pursue their professional goals. We'll continue to advance our mission through innovation, technology and a deep commitment to helping more adults achieve their educational and professional goals. With that, I'll turn it over to Blair to walk through our financial results and outlook for fiscal year 2026.
Blair Westblom: Thank you, Chris, and good afternoon, everyone. Before reviewing the numbers, I'd like to note that unless otherwise stated, all comparisons are year-over-year. My comments today will cover our financial results for the fourth quarter and fiscal year 2025, key operating drivers and our outlook for fiscal 2026. In the fourth quarter, we delivered strong results as we finished the fiscal year. Net revenue grew 7.2% year-over-year to $257 million, supported by a 5.7% increase in average total degree enrollment to 79,300 students. Adjusted EBITDA rose 36% to $56.6 million, reflecting improved retention and related flow-through of increased net revenue, which underscores the strength of our operating model. Net income was $17.6 million compared with $10 million a year ago, mainly due to higher revenue and improved operating leverage, partially offset by strategic alternative expense in Q4 2025 associated with our IPO and the termination of a strategic deal we were pursuing prior to the IPO. Fiscal 2025 was a year of steady top line growth, expanding profitability and disciplined financial management. For the full year, net revenue increased 6% to $1.01 billion compared with $950 million in fiscal 2024. The increase is primarily driven by growth and average total degree enrollment, which increased 3.7% to 81,900, up from 78,900 the prior year and driven by strong retention. Net income for fiscal 2025 was $135.4 million compared with $115.1 million in the prior year. The increase reflects strong operating performance and continued margin expansion, along with a reduction in lease restructuring expense, partially offset by an increase in expenses associated with our strategic alternatives. Adjusted EBITDA was up 6.5% to $243.9 million compared with $229.1 million in fiscal 2024, reflecting top line growth and continued efficiency across our operating platform. Adjusted EBITDA margin expanded from 24.1% to 24.2% Instructional and support expenses increased from 42.5% of revenue in fiscal 2024 to 43.3% in fiscal 2025, due in part to an increase in financial aid processing costs as we adjust changes in financial aid processing associated with the new financial aid application and transition to disbursing financial aid funds to students one course at a time, which supports improved retention and responsible borrowing. General and administrative expenses declined approximately 120 basis points, reflecting natural operating leverage inherent in the business model. We have a strong balance sheet with no debt and meaningful cash flow that supports continued investment in our students and long-term growth opportunities. As of August 31, 2025, total cash, cash equivalents, restricted cash and marketable securities were $195 million compared with $383 million a year earlier. The decrease primarily reflects $251 million in distributions. Capital expenditures were $22.5 million or 2.2% of revenue, supporting initiatives that we believe will drive growth and further enhance our platform to support the student journey and operational efficiencies. Subsequent to the end of the fiscal year, we entered into a $100 million senior secured revolving credit facility, which was undrawn at close and currently remains undrawn. The revolver provides additional financial flexibility to support operations and liquidity needs if required. On October 10, 2025, we completed our initial public offering of 4.9 million shares of common stock at $32 per share, including the full exercise of the underwriter's option to purchase additional shares. All shares were sold by existing shareholders, and as a result, the company did not receive any proceeds from the sale. Following our IPO, our capital allocation priorities remain consistent, maintaining flexibility, driving sustainable enrollment growth and investing in initiatives that support student outcomes and enhance operational efficiency. We continue to focus on organic investments in technology and data capabilities and remain open to selective mission-aligned acquisitions that extend our reach into career-relevant learning. Our strong financial position allows for continued investment in the business while maintaining liquidity and returning capital to shareholders. Consistent with what we stated during the IPO process, we expect to pay quarterly dividends in the annual amount of $0.84 per share, commencing in the second quarter of fiscal 2026 and subject to, in each case, Board approval. Turning to our outlook for fiscal 2026. We are providing guidance for both revenue and adjusted EBITDA. We expect revenue in the range of $1.025 billion to $1.035 billion and adjusted EBITDA between $244 million and $249 million. These expectations reflect consistent top line growth and disciplined expense management, balanced with ongoing investment to support student outcomes. In summary, fiscal year 2025 reflected continued progress in strengthening the company's operating and financial foundation. We enter fiscal 2026 with a strong balance sheet, solid cash generation and clear priorities for investment and disciplined capital management. With that, I'll turn it over to the operator to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Greg Parrish with Morgan Stanley.
Gregory Parrish: Congrats on the strong finish to the year here. I thought maybe just to start with, unpack your expectations for FY '26. You're exiting at 7% growth, 6% enrollment growth, it's been accelerating and a lot of momentum. So what's driving the implied guidance for revenue of 2% to 3%, maybe sort of unpack that? And then what could potentially drive that figure higher or lower?
Christopher Lynne: Greg, this is Chris. Thanks for the question. So yes, I'll give you a little bit of a backdrop on the revenue trends. If you look at fiscal '25 versus fiscal '24, you'll notice that we had healthy revenue growth at 6%, grew faster than our average total degree of enrollment. When you reflect on what drove that difference, we had stronger progression and retention in fiscal '25. We also had a scholarship a little over $5 million that we offered to support students in fiscal '24 in June that was not offered similarly in fiscal '25. And then we have the normal sort of timing differences that we will have year-to-year, just given on the academic calendar, for example, for undergrad programs, there's several tracks, 10 starts a year. But depending on where they fall quarter-to-quarter, you'll have a different number of calendar days, different size of cohorts on a year-to-year basis. The other driver was we did see a higher volume of students that went through our risk-free period in fiscal '25. The risk-free period is something long standing that we've had that has been developed for students that have attributes that correlate with lower success. So we want to give them a try before you buy opportunity. They have 4 weeks where they can get used to the online course environment and the course materials and a lot of the attributes -- some examples are no previous college credit or interestingly, if they maximize financial aid and they have high Pell grant, those tend to be attributes that put them through that risk-free period cohort. We saw larger volumes, as we've talked about at length during the IPO process and disclosed in our S-1, we also saw a spike in unusual enrollment activity last year. These are just -- I know we've talked about this a lot with the -- at least the analysts on this call. But we saw a spike in the summer of '24. We've since reflected and recognized that this was related to breakdowns and controls in the Department of Ed's financial aid from the FAFSA process. So what was happening in some cases is students with complete the financial aid form with the Department of Ed, sometimes with false identification and then they seek to enroll in institutions in order to be able to receive disbursements against those funds. We've always had long-standing processes here, and we were able to see this early and develop very robust controls that we talked about and feel very confident about where we stand with those currently. And we saw really strong results at the end of the year in terms of some of the productivity challenges from that. But as it relates to the trajectory, we did see large volumes in '25 versus '24 in students that went through that risk-free period. And the unusual enrollment activity and the students with the attributes like I described, they have very similar attributes. So many of the students that ended up being flagged with unusual enrollment, they also maximize financial aid. They also had no college prior credit. So that's the path at which we were able to control that activity. We did have a higher percentage of students that did end up persisting beyond the risk-free period into the initial courses and stopped out in their earlier courses. So despite the fact that our retention improved healthily in fiscal '25, we did have a higher percentage of students that didn't persist beyond the initial courses. And that did increase that revenue per average total degreed enrollment in fiscal '25 versus '24. So when you look forward to fiscal '26, part of what you're seeing in our outlook is, I mean, one is we're a new public company, and we want to put an outlook out there as a new company that we feel very comfortable with achieving, of course. But two, is related to the fact that currently, the students that we're bringing in are showing the attributes that we focus on in our enrollment process. We have a higher volume of students that have a higher propensity to succeed. For example, those are transfer credits. We're growing our B2B channel. And so we're not expecting to have the same experience in fiscal '26, but that revenue trajectory will sort of reverse in '26 and that's reflected in the trends that you're seeing in our outlook. I think what's important to mention in addition to all of that, just to provide color, is -- we talked a lot in the IPO process, but it's worth mentioning again that when we were putting the controls in place, an unusual enrollment activity, which we think we've handled very well. We noticed that -- or we actually made a decision in Q4 to move those controls, the detection and verification to the top of the enrollment funnel at the application process. We did this to better deferred the volume from even getting into our enrollment funnel and interacting with our people. That was effective. And so we saw a significant improvement in enrollment productivity because they were better able to sell -- serve well-intended students. So that's helped us return to healthier growth in new students. That's continued. We've continued to refine them. We continue to see improvements in productivity there. So it's important to note that the underlying applicant demand in fiscal '25 was strong. But we were challenged by having to put the proper controls in place for this sort of existential issue that we dealt with for the first part of the year with unusual enrollment activity which really, in our -- I guess, the best way to articulate is we lost opportunities in the earlier part of the year. And now that we have that under control, we're seeing that healthier growth from new students again. That, coupled with continuing retention, which we're seeing really at all-time highs as we continue to improve in '25 versus 24, are really carrying the underlying business drivers for fiscal '26.
Operator: And the next question comes from Jeff Silber with BMO Capital Markets.
Jeffrey Silber: I was wondering if you could just drill down into your total degree enrollment by different verticals. And I'm specifically interested in health care and nursing, I know some of the other companies have talked about some of the RN to BSN programs have gotten more competitive. Do you play there? Can you give us any color on that vertical specifically? That would be great.
Christopher Lynne: Sure. We're seeing healthy growth in our nursing programs. It's a smaller portion of our overall total degreed enrollment. That is definitely an area where we continue to see opportunity, and we continue to see higher growth trends. Now we're growing across most of our programs right now. We're also seeing healthy growth associated with B2B, which is driving growth in business, IT, health care and also nursing. And so I think that's about like -- you've seen our breakdown of our degree programs. The majority are in business and IT. We're seeing growth there. But to your point, health care is a nice opportunity for us, and we continue to see healthy growth trends in that area.
Jeffrey Silber: I'm sorry, just to reconfirm, you think you're seeing growth in all your programs? Is that correct?
Christopher Lynne: The majority of them, if we go across the board, -- if I look at all of them, I mean just full disclosure, the one program that we saw really more flatness in last year was education, but we don't believe that was related to any kind of underlying demand trends. They have a lot more to do with some of the productivity challenges that we were wrestling through as we were getting our control framework in place for that unusual enrollment activity. And is that affected productivity, we think it had an impact on our education vertical.
Operator: And the next question comes from Jasper Bibb with Truist Securities.
Jasper Bibb: I was just hoping you could give a bit more detail on what you're assuming for enrollment growth and revenue per student underpinning that '26 revenue outlook?
Christopher Lynne: Yes. The -- well, the revenue growth -- I mean, the guidance we're providing, Jasper, right now at the revenue growth level, which is in the outlook that Blair provided I do expect some reversing of the really higher revenue per student trends comparatively to say previous fiscal years that I mentioned in fiscal '25, we saw some of the growth in revenue per student due to students that persisted only into their initial courses. That reversal will bring -- if you do the math on revenue per average total degreed enrollment that will bring down that sort of formulaic metric in fiscal '26. We expect that to normalize at the end of the year. So at the later part of the year, likely primarily in Q4, you're going to begin to see trends that are more consistent to expectation in terms of average total degreed enrollment growth and revenue. And then when we look at the out years, we provided the guidance during the IPO process that we're expecting mid-single digits in revenue growth, and we continue to be confident in those -- in that outlook.
Jasper Bibb: If I could just ask a quick follow-up. So about the kind of quarterly cadence of revenue in your outlook. I guess, as you kind of lap some of these headwinds you talked about in fiscal '25, it sounds like some of the back half of the year, the growth will be a little bit stronger than the first half. Just any more I guess is that accurate? And then any more detail you can provide on the quarterly cadence would be helpful.
Christopher Lynne: Yes. I appreciate you asking that question because, yes, we have these sort of headwinds as you refer to them in terms of working through some of the challenges associated with getting the infrastructure in place and unusual enrollment activity. That did -- in one way that did actually lose us opportunity. We saw productivity challenges in terms of lower marketing efficiency, lower productivity enrollment. We're seeing that reverse already. We saw a reversal in both of those in Q4 and expect that to continue in fiscal '26. But we did have some of that revenue of those students that didn't persist beyond the initial courses. So arguably you could argue that's a headwind. I think it's the right type of headwind because we're attracting higher-quality student mix into the institution. So if I think about it, we're not providing quarterly guidance, but I will tell you that this was concentrated through Q2 and Q3 of last year. And so that's why we're expecting to reverse back to trends that you would expect based on our underlying sort of fundamentals in Q4. I do want to reinforce something because I know this is a lot as we kind of talk about these trajectory shifts year-to-year as we're seeing healthy new student demand, and we are seeing new student growth. We are seeing very healthy retention. So the fundamentals driving this year are healthy, which is why we're confident in the outlook that we provided.
Operator: And the next question comes from George Tong with Goldman Sachs.
Keen Fai Tong: I wanted to go back to the impact of suspicious activity controls enrollments. Can you quantify how much of the slower enrollment growth in fiscal '26 is due to less suspicious activity compared to, say, friction and legitimate enrollments? And then maybe talk about what gives you confidence that unusual enrollment activity won't spike again the following year and then force you to put some more controls in place that could impact enrollment?
Christopher Lynne: Yes. George, thanks. Yes, great question. So it's hard to quantify specifically. But just to step back and so you understand what we're doing in our controls. We have advanced algorithms that have proven to be very effective. We have collected a lot of data and have expanded these algorithms where we have a high level of accuracy in identifying any risk of what you refer to as suspicious activity. And so when we hit thresholds, we'll stop matriculating that student or that prospective student immediately. Now whether or not that is actually a student that is exhibiting this bad actor behavior or not, we don't always know that. But we wanted to make sure we put controls in place to ensure that we had this issue managed. And I think as you've gotten to know us, like that is always going to be our first priority. So the early part of the year, a lot of the cost of that was we were -- these controls were further into the enrollment process. So we still had these students interacting with our people. And that created productivity challenges where you had lower conversion, which meant your marketing spend was less efficient. And our enrollment representatives weren't able to manage well intended students as well for obvious reasons. So that was a big driver. When we moved those controls up to the top of the application process going into Q4, we saw significant productivity improvements in the enrollment funnel because we had very little of this activity in the funnel. So we saw enrollment representatives, conversions went up. They were doing a better job serving well-intended students. We did have a little bit of friction. I know we talked about in the IPO process in that -- and we could literally measure it and see it and that we were creating controls. We were sending a lot of students to a verification loop in the application process, and that did catch some of the well-intended students. So we had some friction there. And that friction, we've been continuing to calibrate and we've been more effective in removing as we go forward. So today, we feel a lot better about that even than we did in Q4. And to your question about how do we know about whether or not we're going to deal with this again in the future. What I'd say is this activity is out there, like it's pretty well documented now that there's a lot of unusual enrollment activity in this space. So this is just a capability we've built that we feel is necessary that we feel really good about, but we're constantly looking at this. Not only do we have the controls to detect, verify and deter, but we're constantly looking at the data and updating the algorithms so that we can catch the activity early in the process, advance our algorithms and continue to deter it. So we feel good about our process. It's demonstrated consistency since we've put it in place at the end of Q3 when we completed that process. It's consistently been effective at keeping the matter under control. The last thing I'd like to mention, George, is just as a reminder, this -- the root of this issue was a breakdown in controls and the identity verification process with the Department of Ed. And they have publicly acknowledged that in the early summer. We met with the department in September, and we were confident that they've got a good handle on this and that they're going to put good processes in place with their new FAFSA in the near future here. And so that really should tamp down this issue for the entire higher education sector, which will be great. And that process of meeting with the department also reinforced the confidence in our control structure as well.
Operator: And the next question comes from the line of Griffin Boss with B. Riley Securities.
Griffin Boss: My question is regarding technology investment. So you talked about during the IPO process, the $500 million investment that was made into the technology platform. I'm curious what sort of capacity you have under the current platform? You've grown average enrollments from 70,000 to 80,000 over the last 2 to 3 years. Curious if you have the capability to expand enrollment another 10,000 just as a placeholder number without significant tech investment or what the expectation for investment is in the future to get that next 10,000?
Christopher Lynne: Yes. Thank you for that question. Yes, we have plenty of scale on our platform to manage growth well beyond 10,000 incremental students. I would say that the investments we've made, we have that scale. We have a cloud-first, digital-first platform, very data-driven. What we're excited about is really the evolution of our investments in AI. Part of what we shared with you in the IPO process is that we've been doing AI and machine learning for several years. And so we have a lot of scale in terms of a lot of traffic coming to our website generated from our brand and marketing and then a lot of opportunities, one, to help those prospective students become new students as well as once they become students, we have thousands of opportunities to personalize that experience, leveraging data. And what we're seeing right now in this sort of AI moment with generative AI and Agentic AI are some really powerful use cases where we can really expand that capacity. So we're not -- we're early days in this, but from a technology investment perspective, yes, we have the scale and capacity. But what we're excited about is we've got a lot of use cases in production right now that we think are going to really elevate the value through an efficiency perspective, a student outcome perspective as well as our ability to expand growth. And so I added a little bit there, but I just wanted to emphasize that, that is an area of focus for us that we're excited about.
Operator: The next question comes from Rob Sanderson with Loop Capital Markets.
Robert Sanderson: My question is related to policy. Could you speak maybe to some of the announcements on priorities from the Department of Ed earlier this month and anything that investors should understand whether it's called for accreditation reform or anything else. And -- and just maybe up level a little, are there been any surprises on how changes outlined in the One Big Beautiful Bill Act are moving into implementation and what changes under new laws might mean for the university?
Christopher Lynne: Thanks, Rob. Great question. Nothing has changed in terms of the updates in this area. I mean, obviously, there were some -- maybe not obvious to everyone, but there were some announcements this week that I'll speak to in terms of maybe where the Department of Education may end up potentially in other agencies and the like. But that was even sort of out there as a possibility back when we were going public. So nothing's really changed is really the punchline. But let me just give you a little bit of color. In terms of the One Big Beautiful Bill, we -- at a high level, there were a lot of things in that bill that we talked about, the [ Grad ] loan limits, the PLUS loan was eliminated. There were limitations on various types of Pell grants. All of those we didn't expect and still don't expect to have an impact on our students. There is the earnings threshold that we shared that could have an impact on some of our programs. But based on the knowledge we have today, we don't expect any material adverse impact, and we feel like we're in a good position to manage through anything that may come our way on that. So nothing's really changed there. What's left is the negotiated rule-making process with the Department of Ed. They did have their first phase of it, and some of the loan limits were discussed, and that all sort of fell in line with our expectations. So nothing new. They are going to take up the earnings threshold and some other matters in the next two sessions in December and January. And so there's a lot to learn there. But we feel really good about the interactions we're having with the department and with the process. And so there's nothing new that is concerning us. We feel generally pretty good about everything that we understand as it relates to the Department of Ed and to the Big Beautiful Bill. On the latest discussion, and it's pretty recent, there was, I think, the letter from Secretary McMahon about creating partnerships across agencies. So I think the headline is that this administration is looking to reduce the footprint of the official Department of Ed. And this may be done by moving aspects of the Department of Ed into other agencies. From what we know, we've had a very responsive department. So the post-secondary unit, it's been a two-way relationship. We've got our 6-year program participation agreement. They were very responsive and helpful in that process. So that's been our experience. If it's a lift and shift or a partnership, we don't anticipate any of the discussion that's going on in the press to impact us there. We feel the same about loans and grants. In fact, that's an area where we've actually seen this department, we believe, we can't see on the inside, but it looks like they've invested in enhancements in technology and the process. We met with them to talk about some of these changes around the FAFSA. So we feel good about that process. And if those resources move somewhere else, we wouldn't expect that to have any implications on our university. So A little color there, but the punchline really, Rob, is nothing's changed.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Chris Lynne for closing remarks.
Christopher Lynne: Okay. Thank you, everyone. Fiscal year 2025 marked another year of meaningful progress across the university. We're excited about the next chapter of our journey as we continue to transform lives through accessible, high-quality education I want to close by thanking our faculty and our entire team for their unwavering commitment to our mission and for keeping our students at the center of everything we do, and thank you all for joining us today.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.